Operator: Good day, ladies and gentlemen, and welcome to the PDF Solutions, Inc. Conference Call to discuss its Financial Results for the Fourth Quarter and Full Year Ended Monday December 31, 2018. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. For which, instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. At this time, I'd like to turn the call over to our host Gary Dovercheck [ph]. Mr. Dovercheck, you may go ahead. Unidentified Company Participant Thank you, Jerica, and good afternoon, everyone. We appreciate you joining us for PDF Solutions' fourth quarter and full year 2018 earnings conference call. We distributed the press release earlier today after the close. It's available on the company's website and from Newswire services. Joining me today is John Kibarian, PDF's President and Chief Executive Officer; and Christine Russell, PDF's Chief Financial Officer. First, John, will review the operating highlights and then, Christine, will review the financials for the quarter and then we'll take questions. Before I turn the call over to John, I'd like to make a brief statement regarding forward-looking remarks. This call contains forward-looking information regarding future events and the future financial performance of the company. We caution you that such statements are predictions based on management's current expectations and beliefs. Actual results may differ materially as a result of risks and uncertainties that pertain to our business. We refer you to the company's press release issued this morning -- this afternoon, excuse me, under our SEC filings. These documents discuss important factors that could cause actual results to differ materially from those contained in the company's projections are forward-looking statements. We assume no obligation to revise any forward-looking statements made on today's call. In addition, we'll be referring to non-GAAP financial measures during the call. These non-GAAP financial measures are not prepared in accordance with generally accepted accounting principles. GAAP to non-GAAP consideration -- reconciliation as well as an explanation behind the use of non-GAAP financial measures is available on our press release, prepared remarks, and in the appendix of slides. With that, I'll now turn the call over to John. John?
John Kibarian: Thank you, and welcome, everyone. If you've not already seen our earnings press release and financial report presentation for the quarter and full year, please go to the Investors section of our website where each has been posted. Today we will discuss our results for the fourth quarter, our performance for the full year, the fact is that we believe position PDF well in the marketplace and the implications for 2019. Several years ago, we embarked in a multiyear initiative to evolve PDF into a semiconductor analytics platform company. The key component to our platform is differentiated data sources such as the Design for Inspection and Characterization Vehicle data. Our analytics enable customers to have foresight. We give them the ability to see what is likely to happen in the future manufacturing test or operations and prevent or correct for an impending problem. This is a significant improvement for the industry. The conventional approach involve using data for historical insights and events that already happened. Our approach now is proactive not reactive. The Exensio platform is being deployed across the supply chain. Customers and suppliers can work collaboratively to squeeze more value out of their manufacturing technologies at a time when Moore's Law is diminishing. We are now moving our revenue model to a ratable subscriptions. We believe this model is more predictable and less variable than the old approach, which was a combination of solutions deployment fees and gainshare incentive. The foundation of our new business model is nearly complete. We have made substantial progress in 2018, including important achievements in the fourth quarter. Let me elaborate on those achievements and then review the full year. Importantly, we achieved a key milestone for the eProbe 250. As we announced in the last -- as we announced last month we shipped our first eProbe 250 as part of an order book in the fourth quarter. This one year initial contract is broad as it also includes electrical test. Most importantly the contract places the eProbe 250 in a production fab, which is a watershed event in the history of PDF Solutions. We believe we won this business because the eProbe 250 has the unique capability to measure in line during wafer processing. As such it can predict the probability of downstream yield or reliability issues. This is particularly important to our fabless customers in computing applications for server, cloud and automotive where reliability is paramount. The second major achievement in the quarter was contract that we believe demonstrates the value of enterprise-wide data integration enabled by our Exensio platform. We closed a paid pilot with a long-time PDF customer that until now used only elements of Exensio in their manufacturing. The customer is now evaluating Exensio's enterprise-wide platform. They need a platform that can drive higher quality, improved operations efficiencies and maintain high yields. This pilot is intended to demonstrate that Exensio can meet their price needs. The contract is proof point that customers recognize the merits of our platform vision. Our third achievement was seeing initial market acceptance of our cloud-based Exensio platform. We have a host of Exensio for years, but that offering was more limited in its capabilities. Our new public cloud-based product, not only offers complete Exensio analytic functionality, but we also had a series of value-added services. In Q4, we closed our new -- our first cloud Exensio contract for a fabless customer. In general, the analytics business is accelerating, which underpins our confidence in the new time based licensing model. We closed a number of other significant contracts, including a renewal for a customer that is using a combination of Exensio and our electrical CV infrastructure to better control their fab. In 2015 this was our first to implement the time-based model. This renewal demonstrates the strength of our time-based model. With the renewal this contract will equal or exceed the longevity of our old gainshare contracts, will capture equal or greater value and will have less variability. Overall, during the quarter we've made significant progress in leveraging our investments in R&D to execute on our long-term objective of becoming the leading provider of semiconductor analytics. Now, let me step back and review our accomplishments during 2018. The new business model starting to deliver. Our real-time analytics business represented well over 60% of our solutions revenue. This is up meaningfully from 2017 when analytics was under 50% of our solutions revenue. Last year what we heard consistently from the market is a general need to use data coming from the fab and other sources including electrical test to predict quality and reliability. Customers don't want to wait until they have re-insist test data to apply rules to achieve better quality. In today's fast-paced world this conventional approach delays product and manufacturing efficiency and increase costs. Let me offer some highlights from 2018 that support our confidence. First, at IBM a prominent silicon innovation conference, STMicro discussed how they were able to quickly characterize yield and quality metrics in their nonvolatile embedded PCM technology by using PDF CV infrastructure. Importantly they were able to do this without having to run an entire process file. Another highlight was that one of our fabless customers who used an eProbe 250 to identify failures during manufacturing, the customer noted that our detection capability was consistent with their quality and burn-in failures. Our tool has the potential to detect problems in the real-time that otherwise are not screened for two or three months. Importantly, this capability was resilient. We detected problems across two technology nodes, three products and three foundries. Finally, in 2018, we shared our Exensio's networking capability is able to combine data -- detailed fab data with assembly test and test information to optimize product quality and manufacturing efficiencies. Exensio's network of test facilities now covers most of the major OSATs and lead foundries. This is important, because customers' production flows are run at a mix of internal and external facilities. Exensio is the only platform running across the supply chain, from tools in the foundries to the assembly fabs to the test floor. Throughout the entire manufacturing flow, internal and external, our customers can react in real time to improve their manufacturing. Going into 2019, we are confident that we will again make meaningful progress in the evolution of our business model. We believe that the foundation is built and we can now go-to-market more aggressively and demonstrate compelling unrivaled value proposition. With the completion of the eProbe 250 hardware development, R&D costs will transition to driving applications and revenue opportunities. Future capital expenses will be aligned with future business. In other words, with few exceptions, we have the hardware design we need to drive the growth of DFI. Second, this coming year we will see our analytics business to grow well beyond 70% of solutions revenue. Analytics will become the driver of PDF's presence in the market place. We believe the Exensio platform is sufficiently broad and engineering effort has moved to solutions development. These solutions in many cases employ AI and machine learning to squeeze more information from CV infrastructure and other in-fab data, to provide foresight to customers and additional business opportunities for PDF. As Q4 demonstrated, the investments in Exensio and DFI are driving the strength in business activity we are experiencing. We believe 2019 will be a strong year in bookings compared to 2018. Given the ratable nature of our model, the revenue will follow from the business activity. Because of our capital expense management and expected uplift in gross margins, as software becomes the larger component of our product sales, we expect improvements in our 2019 non-GAAP income over 2018. The evolution of our business model entails risks in investments. We are grateful for the patience and latitude our shareholders given us during this period. We're also thankful for the dedication and support of PDF employees. As we steward the company through this important inflection point, we remain committed to reignite profitable growth by delivering even greater functionality and value to our customers through the sustained leadership in the market. Now I will turn the call over to Christine to review the financial details.
Christine Russell: Thank you, John. Most of you will have seen our financials in our earnings release. In addition, we posted in the Investor Relations section of our website a management report with financials and comments regarding the results of PDF for the quarter. So I'll focus my comments on a few key areas. All of the financial results that we provide on this call are on a non-GAAP basis, which excludes stock-based compensation, amortization of intangibles, one-time and restructuring charges. Please refer to our press release for our GAAP results and GAAP to non-GAAP reconciliation. Revenue for the fourth quarter was $19.7 million, a 2% decrease from the prior quarter. Solutions revenue decreased quarter-over-quarter by $1.3 million and gainshare revenue increased by $839,000. The decrease in solutions revenue was primarily a result of lower hours spent on IYR project partially offset by increased sales of Exensio DFI solutions. Exensio DFI revenues benefited from the extension of an existing Exensio contract with a large Asia-based company and the renewal and purchase of additional product with a major Taiwan fab. The increase in gainshare revenue was primarily at the 14-nanometer node. Cost of sales for the fourth quarter was lower by almost $1 million, at $9.7 million compared to the third quarter. The lower costs are a result of our restructuring activity initiated during the period. Total operating expenses for fourth quarter were $11 million, which is $248,000 higher than the third quarter, primarily due to a one-time payment to our former auditors for their final fees. Compensation was lower as we continue to manage down our employee base through voluntary attrition, slower hiring and our fourth quarter risks. Travel expense and the cost related to subcontractors were also lower than the prior quarter. We continue to analyze all the costs of the business and manage our resources wisely. We reduced headcount year-over-year by 52 from 417 to 365 at the end of Q4, due to lower resource requirements for IYR. And with DFI development largely completed we're able to shift our resources to Exensio. The company posted a loss of $366,000 for the fourth quarter of 2018 compared to a profit of $205,000 in the prior quarter. The company was profitable on a pre-tax basis at $113,000 with a tax provision of $479,000 driving the bottom line loss of $366,000. Non-GAAP per share loss for Q4 was $0.01. Shares outstanding for Q4 were $32.3 million. Looking at the balance sheet. Cash at the end of Q4 was $96 million compared to $97 million in the prior quarter. We generated $4.3 million cash from operations and we used cash for PP&E for new eProbe builds and also the earned out payment for the acquisition of Kinesis. Accounts receivable decreased slightly in the fourth quarter to $29.3 million compared to the prior quarter of $30.1 million. DSOs were 135 days compared to prior quarter of 135 days. Turning to the year 2018, it came with a number of challenges. 28-nanometer loading at the smaller foundry to remain challenged and global foundries exited 7-nanometer. These headwinds put pressure on our revenues. As a result in 2018, we reduced cost. For the year 2018 solutions revenue was $60.1 million compared to prior year of $74.4 million. The reduction in revenue was in our classic IYR business. The analytics part of the business grew year-over-year. We anticipate that our analytics product suite will continue to be the growth engine for our company. Gainshare revenue declined by 6% year-over-year. Gainshare revenue which is a volume-based royalty is tied directly to our Classic in IYR business. Cost of sales was reduced year-over-year by 9%. Cost declined from $42.3 million in 2017 to $38.4 million in 2018. This was a result of our cost streamlining initiative. Looking ahead there are couple of factors which can put upward pressure on our gross margin. Our fixed costs are mainly compensation which is expected to be stable going forward. Therefore incremental revenue falls mostly to gross profits. Second, our mix is improving as we generate more analytics revenue. Operating expenses also were lower in 2018 compared to 2017. OpEx in 2018 was $44.8 million down from $46.3 million in 2017. Our cost-containment focus resulted in reductions in headcount as well as travel expense, use of subcontractors of financial services. Since compensation comprises almost 60% of our spending, the headcount reduction materially contributed to lower expenses. Our total spending including both cost to sales and OpEx decreased by $5.4 million year-over-year from 2017 annual spending of $88.6 million to 2018 spending of $83.2 million. We posted a profit of $3.1 million or $0.09 per share in 2018. Shares outstanding for 2018 were $32.2 million. Turning our attention to our balance sheet for the year, we generated $13.3 million of operating cash and used $13.1 million for PP&E which included leasehold improvements for our company headquarter move and expansion of our clean room and labs and the initial build of eProbe 250s. We used $5.2 million cash for stock buybacks during the year. That concludes our prepared remarks. We'll turn the call over to the operator for any questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Jon Tanwanteng with CJS Securities.
Jon Tanwanteng: Good afternoon. Thanks for taking my questions. Can I ask that the eProbe 250 is that now installed on the floor of your customer? And has there been any initial feedback? How are they experiencing it?
John Kibarian: It arrived before the New Year's holiday in Asia. It was secured for earthquake they went away for a week and I think now it's being installed as we speak.
Jon Tanwanteng: Okay. Great. And is it generating?
John Kibarian: It will be generating data till effectively Q2. And we continue to use the eProbe 150 until we have the eProbe 250 up.
Jon Tanwanteng: Okay. Great. And are you taking that 150 back, or is it staying there?
John Kibarian: Normally it will come back, still to be seen. Contracts it will come back.
Jon Tanwanteng: Got it. Jumping to the gainshare the $7.1 million in the quarter which was nice to see, is that all from GLOBALFOUNDRIES 14-nanometer? Was there any China in there at all? And just any color on how that played out? And then 28-nanometer was in the next.
John Kibarian: That is more than -- of course it's much more than just GLOBALFOUNDRIES. That includes foundries in Taiwan as well as foundries in other parts of the world including China.
Jon Tanwanteng: Okay. Was there any other 14 besides GLOBAL? I guess it's a...
John Kibarian: There were -- 14 yes. Actually couple of 14s I kind of think about it, 2 other 14s.
Jon Tanwanteng: Okay, great. And any update on the situation with GLOBALFOUNDRIES now that they have terminated those seven investment? Are you going to see any competition for the contract you had with them, or are you still working on that? Any update on timing and kind of size and what the resolution may be?
John Kibarian: Yes. As we said our contract is non-cancelable. We'll make -- we will collect all the money from that contract either from that direct contract or additional business and we are in discussions with them on that as we speak. We have a very long history with them and we don't see any issues there.
Jon Tanwanteng: Okay. And just to be clear there wasn't any in Q4, right?
John Kibarian: No, we took -- there was -- because we had no hours in Q4, we had no revenue rec for that contract in Q4.
Jon Tanwanteng: Okay, got it. Christine can we expect operating expense to be lower as we go forward from the restructuring and the cost-saving efforts you're doing, or are you going to reinvest that somewhere?
Christine Russell: Well, I would call it flattish except for one area. Since our revenues are going to be increasing slightly as John mentioned we do have some variable expense associated with that that includes sales commissions and bonuses. So, to the extent revenue increases those commissions and bonuses will increase.
Jon Tanwanteng: Okay, got it. And then just on an overall revenue basis John as you look into 2019 you talked about the analytics being the growing piece of your business. Can you just clarify what analytics means? Does that mean DFI plus Exensio or is your other stuff in there? And kind of what was that base of business in 2018 and kind of what are the expectations for growth in 2019 overall?
John Kibarian: Yes, so our solutions revenue in 2018 was around $60 million for Christine's words correctly and we said north of 60% of that was analytics. And what that includes is Exensio as well as contracts like the contract I described on the renewal where it's a combination of Exensio and CVi where our customer will use that Characterization Vehicle Infrastructure and a fab on a ratable basis and it does include DFI. Anything that's on a time-based license or a license model -- primarily basically analytics as the core, Exensio as the core.
Jon Tanwanteng: Okay, great. And you've previously talked about the growth for Exensio was on a standalone basis and we can kind of model what DFI made to it depending on the number of machines you sell. What do you think analytics does year-over-year on an absolute growth basis?
John Kibarian: Yes, I don't think we've given out that specific number, right? We said now we believe the overall solutions revenue will grow and it will be north of 70% of the solutions business.
Jon Tanwanteng: Okay, got it. But I assume that the other side would be the traditional will be shrinking us?
John Kibarian: Yes. We anticipate that decreasing, but overall, solutions will grow.
Jon Tanwanteng: Okay, got it. Thank you very much.
Operator: Your next question comes from the line of Tom Diffely with D.A. Davidson.
Tom Diffely: Yes, maybe a similar comment on what do you think of gainshare this year?
John Kibarian: Yes. We've modeled it to be slightly down over this past year. Although we do get -- we do find -- it tends to be sometimes more resilient than we model, but we expect it to be slightly down.
Christine Russell: Yes. And we do expect it to continue to be lumpy quarter-over-quarter.
Tom Diffely: Okay. And would you expect at some point you'd get a lumpsum from GLOBAL, or I guess maybe it doesn't have to be if it's built into new contracts, but is that kind of always to the upside at some point you might get a slug of business or slug of payment?
John Kibarian: Yeah. Of course because we haven't finalized what we're dealing with than, yeah, it's hard for us to forecast or envision it Tom. But we expect that it will -- if we reach resolution that will have an impact, a positive impact on this year.
Christine Russell: Yeah. It would. And what you have to remember is since we've been recognizing revenue on a percent of completion basis, hours invested that any dollar agreement we come to with GLOBALFOUNDRIES will not necessarily reflect the revenue that we pose. However, there should be a gain in the revenue for that because we've earned it.
Tom Diffely: Okay. And Christine maybe you could just go over the OpEx one more time. It looks like went up during the quarter, but it sounds like from you commentary it should have gone down with the cost-cutting programs?
Christine Russell: Well, actually we had one area where it did go up and we transitioned auditors. We let go our former auditors. We started with new auditors and when that happens, you can have -- we did have several hundreds of thousands of dollars of transition fees, in which the former auditors are charging for access to workpapers and transition and things like that. So that's a onetime expense.
Tom Diffely: Okay. So would you expect SG&A going forward to look more like third quarter numbers?
Christine Russell: I would expect SG&A, because of the variable nature of commissions and bonuses to increase during 2019 as the revenue increases.
Tom Diffely: Okay. All right. And then John when you look at the eProbe 250, it sounds like it gets up and running over the next quarter or two then gets into production. Once it gets into production, are they going to need a second tool right away for redundancy, or is this more of a beta tool in production, or how would you describe it for the rest of this year?
John Kibarian: Yeah, I think we've modeled the rest of this year that they're using one tool primarily as -- prove out as a manufacturing application not in an R&D mode. We would expect if they decide that this is important for manufacturing one tool would not be safe even from a redundancy standpoint but alone from a volume standpoint. But frankly we built the model assuming it's one for the year, although we don't -- we obviously don't work towards that we work towards doing better than that.
Tom Diffely: Okay. And then based on what you know about the number of data points looked at and evaluated. What the -- is there a number of tools needed for a typical line, or is there some way to describe what the opportunity is on either per fab or per node basis?
John Kibarian: Yeah. We still believe what we said before, which is for model sampling of a fab -- of a meaningful fab say at 30,000 40,000 wafer to start fab you would need a handful of machines to be able to even keep up with that. And we are -- frankly we are just chipping away, Tom, trying to get it to be okay with get to more than one for a production application. I believe it will expand from there. But ultimately, I think you would need a handful of them at least.
Tom Diffely: And then when the ramp hits, what is your lead time to build the tools?
John Kibarian: Lead time is quite substantial, but we have ways of managing that down by preordering some critical lead item parts. But we are no different than any other company building a complex machine. It can be somewhere between nine-plus months.
Tom Diffely: Okay. But if you take a step just in case if you more require for this year to be able to…
John Kibarian: Yes. We've done that. Yes, you're right, Tom, we've done that. We've preordered some of the critical parts to bring that down.
Tom Diffely: Okay. And then moving over to the Exensio business, obviously, a very nice growth over the last year. I'm just curious, do you feel like you're saturating the semiconductor market with the tool and you need to have more apps kind of a land and expand strategy for the growth there? Is there still plenty of greenfield growth there?
John Kibarian: So as we said on other calls, we have something over 130 customers that use our analytics Exensio primarily. And when we look at those customers unless none of them, including that one that signed that pilot for the enterprise pilot, none of them really actually have the entire Exensio, because Exensio was born from a series of point tools that in 2009, we architected into an integrated -- started architecting into an integrated system. And we believe actually and we've had discussions with customers that there is a lot more potential for them to use analytics inside their organizations. And we could grow greatly our annual revenue in those accounts, before we need to start looking at things outside of those 130, and of course, we are looking and talking with customers outside of those 130. There is a lot of system companies that are becoming chip companies these days. But there is tremendous amount of growth from where we are right now inside that customer base.
Tom Diffely: Okay. Is that multiples of current revenue levels that substantially…
John Kibarian: Yes. Yes.
Tom Diffely: Okay. And then just finally when you look at the cuts you've made to the personnel, is that going to hinder your ability to potentially ramp up some of the traditional solutions business with some of the new customers in China, or is that business that you are just trying to push over to more of an Exensio model?
John Kibarian: Yes. It's a great question, Tom. So we believe with customers that are using Characterization Vehicles like we did this in this contract, we signed -- the renewal we signed in the last quarter that we can provide -- before, let's say buying a factory at 65-nanometer, we can provide Exensio and the vehicles and not put consultants in there to help them get through targets and charge them a ratable subscription. So for those classes of customers, we believe there is a tremendous opportunity for the Characterization Vehicle technology that doesn't require a team to help them get value out of it. When you're ramping up or developing, let's say, 7-nanometer, you're spending billions of dollars, and you get tremendous risk and there is a lot of new analytics that we are bringing to that problem. So we provided people to help the customer get value out of it fast. From mature technologies, there really isn't the need for us to provide people help and get value out of it fast. That isn't a fast really for them. And we can monetize it that way. For places in China where people are trying to bring up even things like 28-nanometer and 14-nanometer very rapidly, we will still provide consulting teams as part of that as part of an overall engagement, but we will make sure we get paid for that on good margin, and we can source that out of our overall locations in Asia. We have a number of engineers in Taiwan and in China that are more with salaries are different level than our U.S. and European salaries.
Tom Diffely: Okay. Great. Appreciate your time today.
John Kibarian: Thank you.
Operator: Your next question comes from the line of Tyler Burmeister with Craig-Hallum.
Tyler Burmeister: Great. Thanks.
John Kibarian: Hi, Tyler.
Tyler Burmeister: Most of my questions are answered, but if I can just tie a bow on the guidance here. You said orders should pick up and revenue should follow this year gainshare been down modestly, solutions up. So in total, do we think that we can grow revenue year-over-year in 2019?
John Kibarian: We expect modest growth in revenue. That's why I said revenues will follow. We expect substantial growth in bookings and modest growth in revenue.
Tyler Burmeister: Okay. Perfect. Just to clarify that. And then, on the DFI side, maybe you could talk a little bit about longer-term opportunity? And what the time line of that might look like? Do we expect -- is there any envision to start seeing more material orders later this year, or is this a 2020, even beyond that kind of thing still? Just maybe update on the more material time line of DFI.
John Kibarian: Yes. We expect -- we have a number of pilots going on. If you kind of go back and listen to our conference call, Tyler, over the last few quarters, we were very head down focused on one specific customer. We were very happy to get that order. We believe there's tremendous more opportunity in that customer itself and we do remain very focused on delivering value on that customer. But starting in very late Q3 and into Q4, we started doing demonstrations of the capability for other customers. In my prepared remarks today, I talked about a customer who had three products from three foundries across two process nodes, right? So with DFI, the fabless are also our best marketing tool, because they put the content on their design and then they tell the foundry that it's there and they'd like to see a wafer come to our lab in Milpitas. So we began that effort, let's say, the second half of 2018 and we anticipate that bearing fruit in 2019. Because of the nature of our ratable business model, we will have a more modest impact on revenue in 2019 compared to the bookings level impact it would have, and that would then give us a more substantial run rate in 2020, should we be successful with the pilots.
Tyler Burmeister: That’s great.
John Kibarian: So, I mean, the short answer is, bookings will be up and it will have a modest impact on revenue and a more meaningful impact on revenue the following year.
Tyler Burmeister: Okay. Thank you. That’s all for me.
Operator: Your next question comes from the line of Gus Richard with Northland.
Gus Richard: Hi, guys.
John Kibarian: Hi, Gus.
Gus Richard: Thanks for taking my – hey, how is it going, John?
John Kibarian: It's good. How are you doing?
Gus Richard: I have some questions. Not bad. Thinking about the IYR business going forward, is there going to continue to be some legacy revenue in that product line, or is that just going to dwindle to nothing over the next year or two?
John Kibarian: We have a number of gainshare contracts, including gainsharing contracts in China that have quite a long tail on them. So we believe there is still substantial number of years left on gainshare. There is a big question when those factors go up and what the ASPs are on the wafers, et cetera. So in our own models, we've been very careful about handicapping that to be small. We do believe there is need for customers, as I explained on my question that Tom had asked. We do believe there's need for customers when they want to get up quickly in a node, where the team helping them get up quickly in the node is a value to them. We are migrating the tail of that from primarily gainshare, which the customers perceive as a royalty, to a license for ongoing use of technology, much like the TBL that we have, time-based-license that I discussed on that renewal. So we are looking for ways, because we want to take down our risk on their achieving volume. That's to be carried…
Gus Richard: Got it. Got it. Perfect.
John Kibarian: But we still see value in that – that way of deploying for customers and customers by the way still see value us deploying in that way. It's just been very difficult for us to get a return on some of the more riskier investments in Asia for us.
Christine Russell: And we will continue to have IYR revenue above and beyond the gainshare revenue. We will continue to have IYR revenue during 2019. This is going to be a smaller fraction of our total solutions revenue.
Gus Richard: I got it. It makes complete sense to me. Essentially you're going to be licensing people or Characterization Vehicles and you'll get paid for that work and helping them ramp the process. And then in terms of revenue recognition on the DFI system and sort of how that impacts the cost of goods, do you have to turn on depreciation when it shifts to the customer and then sort of how do you recognize revenue particularly in the first quarter when you're shipping but not necessarily – ship the product install but not necessarily running product?
Christine Russell: Yeah. The DFI arrangement first of all is revenue recognized out as ratable revenue. And I think you already know we continue to own the piece of equipment and we begin the depreciation when it's deployed and the – 
John Kibarian: Let me take the second part of that question. So…
Christine Russell: Sure.
John Kibarian: The machine is not up and running but there is a 150 there running. And so they are actually running wafers today on the 150 machine. So the contract is set up where although it's a little over a year they only get partial year use of the 250 and a partial year use of the 150.
Gus Richard: I see. And so you'll get a ratable amount of revenue each quarter over the period of the contract?
John Kibarian: Exactly. Right now…
Gus Richard: And then the depreciation will turn on the 250 when that starting to run production?
John Kibarian: That's correct.
Christine Russell: When it's put in service yes.
Gus Richard: Got it. And then in terms of your number of customers that have DFI structures on their products has that expanded beyond the customers you've had over the last year?
John Kibarian: It actually have a look at the statistics recently Gus I know of a number of taped out activities going on right now that are our new customers. So if it hasn't extended it will be expanding relatively soon. I think the shipment on the 250 was a pretty big deal from any of us in the industry.
Gus Richard: Got it. And then finally just on the sales pipeline on additional 250s, can you handicap getting a second customer say by the end of the year? A - John Kibarian That would be our anticipation. We have also ways of deploying 150s in applications where they make sense as well and we see some opportunities there as well. So it will be a mix that generates revenue this year.
Gus Richard: Got it. Okay. That's it for me. Thanks.
Operator: And your next question comes from the line of Jeff Bernstein with Cowen.
Jeff Bernstein: Yeah. Hi. You touched on having Exensio now pretty ubiquitously across the supply chain and I hope you could just flesh that out a little bit more in terms of what it means for customers? What it means for the potential to gather GLOBAL contract data, etcetera?
John Kibarian: Sure Jeff. So Exensio run that fabs, fabless, OSATs, test houses, system companies and is actually OEM did include it on tools like wire bonders, pick-and-play systems and assembly flow you can get the ops module from (indiscernible) and others for example. So there is a couple of things that, that's done when we've deployed at the OSATs we deploy in a way where they work collaboratively with their end customers. So we generated revenue both from the OSAT and the fabless customer and they can therefore share data across the Exensio dex node to help improve operational elements which really is the OSAT's responsibility, as well as quality elements which is really the fabless or system company's responsibility. We also have situations, for example, we have large fabless companies that are used to certain kinds of Exensio reports. So in the past year, we had a sale at a smaller foundry where they were winning that fabless company and they wanted to deploy Exensio so they could generate the same reports that the fabless company expected. And that's all part of the -- and if the fabless company has a license for Exensio they can load that same web report directly into their Exensio. All Exensio web reports are interactive. So it's not a static report. That means they can go and say well wait a minute they should have screened out those couple of chips and it automatically updates the report. So all the reports are interactive and also shareable in that way. So when one of your suppliers are on Exensio when you get a report from them, you can make a tweak to that report without having to go back and wait for 24 hours when we come back and work and fix the report for you when it's something kind of trivial. That's a big deal for an engineer who’s trying to generate something for 7 A.M. meeting.
Jeff Bernstein: Do you guys have the potential at some point to create a data business that has benchmarking kinds of stuff across different player’s etcetera, or customers interested in that? Is the data security there to be able to do that in a way that people wouldn't mind?
John Kibarian: That's a great question. Jeff, yes and it's true that we do have that capability. We maintain a lot of the systems for our customers on our host of business, as well as all the nodes at the OSATs. And we maintain use of that data, what we call secondary data rights for the purposes of benchmarking, developing and optimizing better algorithms and helping customers be more efficient with their manufacturing. So overtime that will be a more and more significant business. And if you look at our -- my prepared remarks when I said that, we move to the public cloud and that we can offer a series of value-added services on top of that, that's exactly in the direction that a lot of our customers want us to go, heightened security, heightened traceability of their material, as well as heightened security about who is looking at my data which we have ways of providing security in that and different two and three-factor identifications. And ultimately then benchmarking and analysis and alerts about what's going on in the overall supply chain, but that's something that will come -- will become more available in the future than it is today.
Jeff Bernstein: Okay. And then lastly just the challenges of advanced packaging what are those sort of mean to all of this?
John Kibarian: Yes. So that's -- when we started out with Exensio and we started building out all of the advance modeling we focused it on the factory, the fab itself. And customers in 2014 educated us and me in particular that we were missing the point and there was a tremendous amount of complexity going into the assembly flow. That's why we purchased ALPS in 2017 because the traceability across that assembly process is quite important. There are many, many components going into a package these days 10 or 15 components. I mean, if you were to go look at the construction analysis inside your iPhone, there is four packages that have -- at least four packages that have many components in them. And many of them need that traceability to know exactly which part of the supply chain it came from. That responsibility falls on the laps of the fabless company or the system company and hence manufacturing for them is becoming more complex. When you go back to when Moore's Law was driving the industry and it was just a new node, all of the complexity of manufacturing and all the risk resided at the foundry with advanced packaging that is a shared responsibility between the foundry, the assembly house and the system company itself.
Jeff Bernstein: Got you. That's great. thanks.
Operator: And your next question comes from the line of Andrew Wiener with Samjo Capital.
John Kibarian: Hi, Andrew.
Andrew Wiener: Hi, John. John, maybe you could update us on the macro perspective, how things are going in the opportunity in China? I know the ecosystem for a domestic capability there has developed at a slower rate than maybe the public believe you guys were always a little more cautious on it, but what's going on now and how we're looking at that?
John Kibarian: Yes, that's a great point. And I've said in a number of meetings with folks that I believe China had its sputnik event this past year. When the U.S. government shutdown ZTE and then subsequently what's going on between the U.S. government and Huawei, I think it was a wake-up call for the overall semiconductor industry in China. And I think that creates a tremendous opportunity for PDF, because they need to be able to ramp those technologies. I would say in the early part of 2017 -- 2018 my perspective when I would visit with fabless and system companies, they were not so excited about using the capacity inside China. They were very happy with their worldwide suppliers. And I'm sure they're still very happy with those worldwide suppliers, but they see tremendous risk that they could be cut off from them. And so I think there is a higher degree of urgency. We felt that in the fourth quarter and our dialogues with customers. We anticipate as we go through this year and increase business activity there as a result of it. And I jokingly when I talk with my friends over there I said, I think you experienced sputnik. I think it's the same kind of thing.
Andrew Wiener: Thanks. With respect to the pipeline or development activities related to the eProbe 250 given the change in the business model associated with electrical characterization and inspection we're dealing and the nature of it being in production versus in development. How has that changed the type of customer we're talking to in particular has it opened the doors at some of the largest logic players where we either historically haven't been able to get in or one way we were kicked out?
John Kibarian: Yes. Of course, Andrew we have to be super careful about talking about any specific company, but customers have always liked our technology up and down the industry and the business model has -- had been a factor. The fact that DFI provides a way that we can create value in manufacturing means we can charge for continuous usage rather than charging a royalty upfront and that is much more amendable to many of our customers including the largest companies that have not been our customers in the past. And that's increased our dialogue with the entire industry over the last few months.
Andrew Wiener: Okay. Christine do you have -- what's the bookings growth rate was on the analytics business in 2018 versus 2017?
Christine Russell: No, bookings is not a number that we disclose. So, certainly, bookings rose. I can give you that kind of qualitative direction, but we don't report on bookings.
Andrew Wiener: Do you have metrics around either renewal rates on Exensio either on a customer basis or on a revenue basis?
John Kibarian: It's a great question. Andrew we're pulling all that together. And as we go out through this year, we'll be disclosing more about what we see our renewal rates be. And this example I gave last quarter was kind of the first really major one that we could talk about and there will be more that we'll be able to talk about as we get through this year.
Andrew Wiener: Yes, I mean, John as we had this conversation, I think it's incredibly important as we transition the business that we provide metrics that will help people model the business and that are sort of more akin to other subscription or software or analytics-based businesses.
John Kibarian: Yes, so you're preaching to the choir on that Andrew.
Christine Russell: John and I violently agree with you.
John Kibarian: Yes, we'll be doing that as we get through the year.
Andrew Wiener: Okay, that's all I have right now. Thank you.
John Kibarian: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Rob Ammann with RB -- I'm sorry Rk Capital.
Rob Ammann: Yes my question was also primarily around some sort of bookings metric and the plan going forward, but I would imagine deferred revenue is not a very good proxy for calculating implied billings sort of number given different contract terms or billing terms. Is that fair?
John Kibarian: That's correct.
Christine Russell: It's fair.
Rob Ammann: Okay. And then maybe the second question, but thanks for your help with the model at least baking in one 250. Can you tell us if the model contemplate additional 150 placements over course of the year?
John Kibarian: In this year very little -- just a little bit at the end of the year.
Rob Ammann: Okay. And how many are out there now? Is it three?
John Kibarian: There's three out there now.
Rob Ammann: Okay. Thank you.
John Kibarian: Thank you, Rob.
Operator: [Operator Instructions] And there are no further questions at this time. And now, I'd like to turn the call back over to the presenters for closing remarks.
John Kibarian: Thank you everyone for attending. We look forward to talking with you again soon. Good day.
Operator: This concludes today's conference call. You may now disconnect.